Nicholas Kirk: Good morning, everyone, and welcome to the PageGroup Interim Results Presentation. I'm Nick Kirk, Chief Executive Officer. And on the call with me is Kelvin Stagg, Chief Financial Officer. The group delivered a resilient performance in H1 despite ongoing macroeconomic uncertainty. Whilst activity levels remained robust across most of our markets, we experienced a slight deterioration in activity levels and trading in Continental Europe towards the end of the period, particularly in our two largest markets, France and Germany. Elsewhere, we saw some improvement in activity, trading and customer confidence in Asia and the U.S. The conversion of accepted offers to placements remains the most significant area of challenge as this macroeconomic uncertainty continued to impact confidence, which extended time to hire. As you know, we have taken robust action to optimize our cost base by simplifying our management structure, reducing our leadership team and improving the efficiency of our business support functions. We remain committed to our strategy and I will update you on our progress later in the presentation. I'll now hand you over to Kelvin to take you through our financial review.
Kelvin John Stagg: Thank you, Nick. Although I will not read it through, I'd just like to make reference to the legal formalities that are covered in the cautionary statement in the appendix to this presentation, and which will also be available on our website following the call. Group gross profit was down 9.7% in constant currencies to GBP 389.7 million in H1. Operating profit in the first half was GBP 2.1 million down from GBP 28.4 million in H1 2024 with a conversion rate of 0.5%. Excluding one-off costs in H1 of around GBP 13 million relating to restructuring and transformation, underlying operating profit was GBP 14.9 million, a conversion rate of 3.8%. We closed the first half with net cash of GBP 10.8 million, and we are today announcing an interim dividend flat on 2024 of 5.36p per share or GBP 16.7 million. I will now take you through the financial review. Looking at each of our regions and starting with the largest, EMEA, our conversion rate was 5.2%, down from 14.6% in the prior year. Profitability decreased on 2024 due to the tougher trading conditions seen in 2025. The Americas remained profitable. However, in Asia Pacific and the U.K. while trading conversion was positive, after central cost allocations, both regions had a negative conversion rate. Against the ongoing challenging trading conditions, we have taken robust action to optimize our cost base by simplifying our management structure reducing our leadership team and further improving the efficiency of our business support functions. These initiatives will incur a one-off cost of around GBP 15 million in 2025, partially offset by savings of around GBP 5 million. Our cost optimization program incurred one-off costs of around GBP 13 million in the first half of the year. This will deliver annualized savings of around GBP 15 million per year from 2026. Excluding one-off costs, underlying operating profit was GBP 14.9 million with a conversion rate of 3.8%. The effective tax rate for the first half was 37.3%, a decrease from the 39.5% for H1 2024. This decrease is primarily due to a reduction in prior year tax adjustments recorded in the first half. The higher tax rate in full year 2024 was due mainly to derecognition of overseas losses. The effective tax rate for H1 is consistent with our expectations for the full year. However, it is highly sensitive to the lower profit environment. The most significant item in our balance sheet was trade and other receivables of GBP 339.6 million, which due to the weaker trading conditions, decreased by GBP 31.6 million versus June 2024. Net cash at the end of June was GBP 10.8 million, which included cash of GBP 33.8 million, partially offset by borrowings of GBP 10 million under the revolving credit facility and around GBP 13 million under our U.K. trade debtor discounting facility. Overall, net assets decreased from GBP 274 million in H1 2024 to GBP 217 million in H1 2025. This chart lays out the movements in our cash in the first half of 2025. Our H1 EBITDA inflow was GBP 32.6 million, partially offset by an increase in net working capital of GBP 28.9 million. Tax and net interest payments were GBP 12.3 million, and net capital expenditure was GBP 7.1 million. Payments made in relation to lease liabilities reduced cash by GBP 23.3 million. The group purchased GBP 8.3 million worth of shares into the Employee Benefit Trust to satisfy future committed obligations under our group share plans, and we paid out GBP 36.9 million for the 2024 final dividend. Overall, the impact of these cash flows decreased the group's net cash position since the year-end by GBP 84.5 million to GBP 10.8 million at the end of June. Net working capital reduced cash by GBP 29 million in H1. This was due mainly to payment of 2024 annual bonuses to senior staff and Q4 profit share. Our debtor book remains strong, and we've seen no deterioration in DSO across either permanent or temporary recruitment. We've also not experienced an increase in write-offs. We did not see a reduction in trade and other debtors compared to December 2024. This was due partially to temporary recruitment, which has a greater working capital requirement being more resilient in the current market uncertainty. We also had an increase of around GBP 9 million in prepayments compared to December due to most of our significant software license renewals being in H1. This will unwind over the second half of the year. We've already started to see net cash increase to around GBP 22 million at the end of July. The group has a clear capital allocation strategy with three defined uses of cash. The first and primary use is to satisfy the operational and investment requirements of the group, such as investments in technology, data and innovation as well as hedging our liabilities under the group's employee share plans. The second use of cash is for the payment of ordinary dividends, where it's the group's policy to maintain these through a downturn, which we have done in all years apart from during the pandemic and to increase them when conditions are more favorable. Thirdly and finally, any remaining surplus cash is distributed to shareholders by way of a supplementary return either by share buyback or special dividend. Today, we're announcing an interim dividend of 5.36p per share, in line with 2024. The interim dividend will be paid on the 10th of October to shareholders on the register as at the 29th of August. I will now hand you over to Nick to take you through our strategic review.
Nicholas Kirk: Thank you, Kelvin. We launched our strategy in 2023 with three key strategic goals, changing 1 million lives, increasing our Net Promoter Score to over 60 and delivering operating profit of GBP 400 million. Against our social impact objective of changing 1 million lives, we performed well in the first half of 2025. In H1, we changed over 55,000 lives, meaning that in total, we have changed over 700,000 lives since we set this target. Progress in this area is measured by the number of people whose lives we've changed by placing them into work as well as the number of people who access programs we run that support traditionally underrepresented groups accessing employment. As a result of our continued commitment and success in this area, we are well on track to deliver against this strategic goal. I'm pleased to report that we've also made progress on our customer experience goal of achieving a client Net Promoter Score of over 60. From our pre-strategy baseline of 52, our Net Promoter Score increased to 61 in 2024. And in H1 2025, we have seen further improvements. For the 6 months to the end of June, our score increased to 66. Against a complex and rapidly changing talent landscape, clients are looking for more than just a recruiter that can fill a job. Our customers want data and market insight. They want human capital solutions to address complex needs. They want a partner that can access talent pools all around the world. And they want to work with a company like ours that puts the customer at the center of everything they do. Our Net Promoter Score highlights our commitment to providing excellent service to our customers, further cementing our position as a benchmark of quality in our industry. Our strategy prioritizes delivering what we are famous for, building on our existing strengths and leveraging our established global platform. We have a clear focus on what we do best at a city and country level, growing our business in areas where we see the greatest future potential. To achieve our strategy, we have four pillars of growth, our core business, our technology business, Page Executive and Enterprise Solutions. We continue to maximize our core business under our Michael Page and Page Personnel brands, building on our previous investment strategy to strengthen our market-leading position with a focus on profitable growth. Our technology business is a scale play, enabling us to build a high-value, high-volume business in what for us is already a significant market. Page Executive is a market gap play with a specialization in senior leadership search and recruitment as well as offering executive advisory services. Enterprise Solutions is a partnership play as we build out our capabilities and breadth of offering to create long-term mutual value with our strategic customers. I will now give you a brief update on the progress we've made within our four pillars of growth. Within the core business, trading conditions have been challenging in the majority of our markets. Despite this, we continue to progress our strategy. Over the last 6 months, we've remained focused on reallocating resources to match activity levels as well as investing into business areas where we see the greatest long-term opportunities. Whilst the macroeconomic uncertainty continues to impact the majority of our geographies, we've begun to see recovery in our U.S. business, which has delivered three successive quarters of growth. When we look at the underlying KPIs and activity data, what we can see is that this recovery has been driven almost entirely by an improvement in the conversion rate of offers to placements rather than increasing activity levels. As a reminder, for every 5 offers a fee earner receives in a normal trading environment, we would expect 4 to become placements. Over the past couple of years, this has fallen to around 3 out of 5. Reviewing our improved performance in the U.S. over the past 3 quarters, what we've seen is a gradual return to a more normal level of conversion of offers to placements. This has been due to clients and candidates being more willing to engage in conversations and negotiations at the latter stages of the recruitment process, showing flexibility on both sides and the desire to get the deal done. The technology market has been tough globally. Reflecting this, we were down 16% in H1 versus 2024, below the group average. Despite this, technology remains our second largest discipline at 12% of the group. Within technology, we continue to see a more resilient performance from non-perm. We are reshaping this business from the pre-pandemic model, increasing our offering within contracting and interim roles. This is particularly evident in markets such as Brazil, Greater China, Colombia and Spain. We've also been rolling out our proven contracting model from Germany into other markets in northern Europe. Despite the tough conditions globally, there were some individual markets, which delivered good growth in H1, in particular, the U.S., India and Greater China. Page Executive delivered another good performance in H1, down just 2% against a record comparator. Within this, our best- performing markets were the U.K., the U.S., Spain and Latin America. In line with the broader group commentary for H1, market conditions were particularly tough in Page Executive in Germany. A key element of our Page Executive strategy has been to focus on more senior leadership roles and as a result, increase the salary levels at which we place. This strategy continues to prove successful, and we've seen an 11% increase in the median placement salary. Alongside this, the track record and success of our well-tenured consultants in Page Executive has resulted in a 13% increase in our median fee. What has become increasingly clear over the past couple of years is that the market gap for Page Executive is a significant opportunity for the group and one that we are uniquely placed to exploit. Enterprise Solutions, which is our business focused on strategic customers delivered an encouraging performance in H1. Our well- established global platform across 36 markets allows us to consult with clients as they look to tap into new markets and geographies. In the last 6 months, we've supported a sovereign wealth fund in the Middle East as they look to open operations in Europe and Asia. We've partnered with a Chinese multinational technology corporation as they look to build out their R&D capability in Europe. And we've supported the global ambitions of a British multinational bank looking to recruit top talent across the Americas, EMEA and APAC. Our customer-centric approach, highlighted by our Net Promoter Score, increasingly makes us the partner of choice for companies looking to go global. Within Enterprise Solutions, our outsourcing business delivered a H1 growth of 19% and a record performance. We've also seen a strong increase in our sales pipeline as our strategic commitment to global customers gathers momentum. We remain focused on winning business that delivers conversion rates in line with our strategy. The interest and headlines around the role of technology and in particular, AI across all industries continues to grow. We have seen positive impacts on how AI can support our business and our consultants in completing the more admin-heavy tasks and enhancing customer engagement. Our measured approach to where we see the value in AI is built on solid foundations in collaboration with the most significant players in big tech to develop safe and secure cutting-edge technology and AI systems for everyday use by our consultants. AI is deployed globally in our core systems at different stages of the recruitment process. This enhances and enables our industry- leading platforms, Page Insights and Customer Connect. Wherever AI is implemented, we measure the impact on our business performance. For example, our AI-driven job ad generator delivers 47% more applications per job with increased conversion to shortlist, and ultimately, an improved conversion to fill rate that is 22% better than before. AI also allows us to operate at scale when it comes to providing our teams with insights to support client conversations, whether that be market or sector-specific advice from our Page Insights platform or extracts from our talent trend report which is our comprehensive study of 50,000 skilled professionals across a multitude of industries and 51 locations worldwide. We are confident of our ever-growing capability in this space, using our global partnerships and now deep-rooted internal expertise to work through the latest trends that emerge constantly in AI. For example, we are already actively testing and exploring how multi- agentic AI can be deployed at scale to transform both operational teams and business support functions. We believe it will augment the way they work so they can focus on higher-value revenue-generating activities. All that said, it is worth restating that we still fundamentally believe that whilst technology and AI are powerful tools, human interaction is vital to deliver the most successful recruitment outcomes for both clients and candidates, particularly within white-collar professional recruitment. Our consultants provide valuable expertise, market knowledge and insight to our customers with tech and AI playing a crucial supporting role. I will now finish with a brief summary. The group delivered a resilient performance in H1 despite ongoing macroeconomic uncertainty. Against these trading conditions, we've taken robust action to optimize our cost base by simplifying our management structure, reducing our leadership team and improving the efficiency of our business support functions. These initiatives will deliver annualized savings of around GBP 15 million per year from 2026. We have a highly diversified and adaptable business model, a strong balance sheet and our cost base is under continuous review. We are announcing today an interim dividend of 5.36p per share or GBP 16.7 million. The Board expects full year operating profit to be broadly in line with previous guidance of GBP 22 million. Kelvin and I will now be happy to take any questions you may have.
Operator: [Operator Instructions] We have our first question from Zach [indiscernible].
Unidentified Analyst: I've got two questions, please. So the first one, in the context of the flat interim dividend. Should we assume that a flat dividend at year-end is the right assumption if you achieve your guidance of the GBP 22 million operating profit? And then the second one, you called out weaker exit rates in France and Germany in the press release. So could you maybe touch on what you've been hearing more recently from clients in both of those countries, in particular, and whether July and early August has been consistent with June trading?
Nicholas Kirk: Thank you. Well, I'll take the second question first, and then I'll pass over to Kelvin for the first question. I mean, we're not here today to give a month-by-month trading update. So referring back to really what we said at the end of Q2, we did see weakening conditions in both France and Germany through Q2, probably slightly different reasons, but then maybe a little bit connected as well. I mean, ultimately, macroeconomic uncertainty created by either tariffs or political situations, just feeding through into business sentiment. I think what we did also say though at the end of Q2 was that the announcement that the government have made in Germany indicates that I think that from speaking to our clients, they're feeling more optimistic about the back end of the year, but waiting to see the exact detail on some of the funding and the government policy there to see exactly how it plays out. But reasons to perhaps be a little bit more optimistic towards the back end of the year in Germany, probably not so much of a stimulus opportunity that we've seen in France, definitely high levels of uncertainty. As you know, I mean, everybody tends to disappear away on holiday in France and Southern Europe and increasingly in Northern Europe throughout August and parts of July anyway. So we're not going to get a better read on Q3 until we've seen in September. So probably nothing more to add than we said at the end of Q2, really in terms of Europe, Kelvin?
Kelvin John Stagg: Yes, I can come back to the other one. I think the flat interim dividend reflected really the available cash that we have today. We had some sizable outflow payments in the first half, largely GBP 13 million that we disclosed in terms of the restructuring charges. We hedged share plans in the Employee Benefit Trust to the tune of GBP 9 million, and we paid the final dividend of GBP 37 million. So around GBP 60 million of outflow. We don't really have that many outflows in the second half. The interim dividend, GBP 16 million or so is really the largest payment in the second half. I can't really comment in terms of what our cash balance will be at the year-end at this point. It will depend on, obviously, the profit number, but probably more importantly, movements in working capital in the second half, particularly the balance between perm and temp. And it's not a decision we have to make until the end of February. So we've got 7 months more visibility just to see before we get there. But our policy to date has always been to try and hold the ordinary dividend and expand it in better times. So we'll see where we are. But you'll have to wait until we get to the prelims next year before we're able to give you an answer to that question.
Operator: Our next question comes from Andy Grobler from BNP Paribas.
Andrew Charles Grobler: Just one for me, if I may. A lot has happened since those initial targets were set, particularly the GBP 400 million target. Given all of those changes to kind of macro conditions and recruitment markets, do you still think that GBP 400 million is kind of relevant and achievable in a reasonable time frame?
Nicholas Kirk: Thanks, Andy. So when we announced the strategy, what we talked about was 7 good years. They didn't have to be kind of years that were those -- like those 2 years as we came out of the pandemic, which were probably market conditions that anyone that spent any time in the industry still reflect on as probably the best 2 years in their recruitment careers. But we do need supportive conditions. So therefore, that's what we modeled the financial planning against. So in terms of what we now know and the work that we've done in tougher times, I think that our modeling stands firm is that we believe that we can drive back towards those numbers. Will we get there by 2030? Well, probably not because we're now in 2025. But in terms of our focus around Page Executive, we talked today about how well it's going, the opportunity that we believe we have and the unique positioning we have to exploit that. We've talked about the success that we've seen in Enterprise Solutions. Technology has been tough across the board, but it's hard to believe that technology doesn't start to come back at some stage with a greater level of confidence. And I feel really good about how we've reshaped the business ready for that. And our core business, what we have done is we've not been sat on our hands. We've been restructuring, redesigning the business, ready to really drive profitable growth with a focus on less is more in many of our markets. So really focusing on what we do best. So I think you put all of those things together and you give us a good run in a good market, then no reason to believe we can't deliver against what we set out to do.
Kelvin John Stagg: Probably add a little bit to that. I think it's been a really unusual downturn this one. And when we look at our productivity mix, we have really seen productivity hold broadly flat. So we were off just under 2%. We're at record fee levels. We're trading at salary levels that are higher than we would have done previously. But the bit that you would have heard us talk about is that it's the conversion of offers into placements that has really been the challenge, and where normally we would expect to convert 4 out of 5 offers into placements, currently, broadly across the group, we're trading with more like 3 out of 5. So we've seen a reduction in the top line of around 25% in terms of what we're able to monetize. We would expect that as markets recover, and we're starting to see it in the U.S. that, that would move back more broadly from the 3 into the 4, which should restore the top line relatively quickly with a full drop-through of that because obviously, we're doing the same amount of work, whether or not we monetize or don't. So from our sort of record year where our gross profit was just north of GBP 1 billion to today where it's in the GBP 700s million, there is a route where markets return through clients and candidate confidence where we restore quite a lot of that gross profit quite quickly. And then obviously, less 25% to 30% worth of profit share, most of it drops through to the bottom line. So I think there is a route for us to recover in terms of profitability, really broadly back to where our good years were. It's a matter of how quickly that customer and client confidence returns.
Andrew Charles Grobler: And just a follow-up. You mentioned the U.S. there where you have seen an improvement back towards kind of 4 out of 5. Are there any other major markets where you're seeing either that you've reached that level or you're going in the right direction?
Nicholas Kirk: I mean India has probably never fallen away from that. So that's been pretty constant in terms of the market conditions there and the business sentiment. And the one that we called out, Andy, as you'll remember in Q2, where we started to see some recovery was in Asia. Now it was a small amount of recovery. It was the first quarter of recovery. So we'll wait to see how things pan out over another quarter or two. But again, the style of recovery that we saw in Asia was very similar to what Kelvin just described. So it wasn't driven by huge spikes in job numbers or a huge increase in the volume of interviews. It was just the same amount of work being rewarded with more revenue because more of the placements were getting over the line because clients and candidates were getting around the table and having conversations that were probably pre-pandemic, as you'll remember, very normal conversations, which is I'm offering you a 5% increase. I'm not going to take it. Okay. Well, let's sit down and talk about what you will accept, and then they reach an agreement, shake hands and the deal is done. What we do know is that since 2022, those sensible conversations have been few and far between, and it's made it very difficult to get deals over the line. We've seen that come back in the U.S. We've had 1 quarter of recovery in Asia that has been driven more by, as I say, that conversion of offers to placements than a spike in activity. So we remain positive. But hopefully, we see that again in Q3 in both of those markets. And then that I think starts to give us a pattern of recovery that Kelvin just spoke about, which is just this increased revenue from the same amount of work.
Operator: Our next question comes from Abi Bell from UBS.
Abi Bell: This is Abi from UBS. Just two questions, please. Firstly, can you talk about how price mix has evolved through H1, and how much this contributed within the 10% gross profit decline? And what you're hearing back from clients in terms of salary expectations? I know you touched on this briefly, but what you're seeing in terms of the jobs which are premium at the moment? And then secondly, in terms of the job flow, there's been a lot of discussion recently about structural changes in the workforce with companies aiming to use AI to improve productivity, and sort of reducing entry-level positions in particular. Is there anything you think is observable yet? Or is it really hard to unpick given the cyclicality at the moment?
Nicholas Kirk: Thank you. Okay. I'll take the second question and then pass to Kelvin for the first one. In terms of structural changes, I was trying to kind of really talk a bit about that in the presentation, which is that I'm not sure that the headlines that we all read every day are matching the reality of the client meetings that I'm attending the conversations I'm having with the CEOs or even our own position. I think there are opportunities to use AI, but most organizations that I speak to talk about using it to augment their workforce rather than replace. And where we have seen some headlines around organizations that have bravely removed everyone from their call centers and used AI to replace them, we've then seen headlines about them re-employing the same people back into their call centers because it didn't work. So I do think there's something of a disconnect, but I also think it would be wrong to believe that we are at the peak of what this technology can do. I mean, we've moved generationally from what was discussed as AI through to now something that's multi-agentic AI, which is so exciting and creates so many opportunities for organizations. So change is coming. I just think that the headlines are a little bit ahead of the reality and that most organizations are using it in the way that we are, which is to address admin- heavy tasks to remove tasks that are very high volume, low value from the process and give it to the AI to do on the behalf -- on behalf of the people, but then use the same people to do more customer engagement, high-value, high-touch work. Where we go next? I don't quite know. I think anyone who claims to know is lying. But I think that it's a really exciting time for business and there will be change. But I also fundamentally believe that the change will create new jobs and new opportunities as we've seen with most other technology when it's come in over the years. So yes, I'm not quite seeing the headlines matching the reality based on the conversations I'm having.
Kelvin John Stagg: Yes. On your first question, I think that there is an element of the implementation of our strategy that has slightly changed the price and mix. We have, in a number of markets in Asia, in Latin America, in the U.K. moved resources intentionally out of Page Personnel, our lower level clerical recruitment brand up into Michael Page, where we see higher fee rates where we operate at higher salaries, which we think is less likely if there is any disintermediation of those low-level clerical roles to be affected. And so we will have moved some of our resources into a slightly higher price level in terms of both the fee rate and the salaries we hire at. You would have heard during Nick's presentation that within Page Exec, we've been keen to do the same thing. And so we've seen an 11% increase in the median salary that we place at. We've seen a 13% increase in the fee. And so there are a number of areas that we've intentionally targeted a higher price and salary point as part of our strategy implementation. In terms of how that has affected the gross profit movement over the last year, the majority still remains that volume issue around only managing to convert 3 out of 5 placements into gross profit. It's also broadly in line with the reduction in fee earners over the same period of time. So the volume per fee earner remains broadly the same because the productivity, as I said earlier, was only down just under 2%. So that really is where we are in terms of hoping to then monetize more of those offers and see the gross profit return. In terms of salary expectations in the market, I mean it remains broadly around 5% to 7% is probably the average offer that people are getting candidates when they come to market. And I mean, we've sort of said quite a lot in recent years, that's not unusual for pre-pandemic. That was pretty normal. But it would be sort of 5% to 7%, 5% to 8% during the sort of the teen years. It got very heated during the pandemic recovery in '21 and '22, where offers between 15 and 20 were not unusual at all. But that's now come back down again. And as Nick mentioned earlier, what we are seeing though in certain markets like the U.S., is that are actually a 5 to 7 isn't getting people over the line, then people are having a conversation to go, okay, well, is 8 enough? Do we need to make it 10. But in most of the markets, 5% to 7% is roughly what people should be expecting and candidates are expecting now.
Operator: [Operator Instructions] We currently have no further questions. So I'll hand back to Nick for closing remarks.
Nicholas Kirk: Thank you. As there are no more questions, thank you for joining us this morning. Our next update to the market will be our Q3 trading announcement on the 15th of October. Thank you all for joining us this morning.